Operator: Good day, ladies and gentlemen, and welcome to the Hawaiian Electric Industries Incorporated Q4 and 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Clifford Chen, Manager of Investor Relations. Mr. Chen, you may begin.
Cliff Chen: Thank you, Andrew and welcome everyone to Hawaiian Electric Industries 2015 fourth quarter and yearend earnings conference call. Joining me this morning are Connie Lau, HEI President and Chief Executive Officer, Jim Ajello, HEI Executive Vice President and Chief Financial Officer, Alan Oshima, Hawaiian Electric Company President and Chief Executive Officer and Rich Wacker, American Savings Bank President and Chief Executive Officer as well as other members of Senior Management. Connie will provide an overview, followed by Jim, who will update you on Hawaii's economy, our results for the fourth quarter and yearend 2015 and our 2016 earnings guidance and we'll conclude with questions-and-answers. In today's presentation, Management will be using non-GAAP financial measures to describe the company's operating performance. Our press release and webcast presentation materials, which are posted on HEI's Investor Relations website, contain additional disclosures regarding these non-GAAP measures, including reconciliations of those measures to the equivalent GAAP measures. Forward-looking statements will also be made on today's call. Actual results could differ materially from what is described in those statements. Please refer to the forward-looking statements disclosure accompanying the webcast slides, which provides additional information on important factors that could cause results to differ. The company undertakes no obligation to publicly update or revise any forward-looking statements, including EPS guidance, whether as a result of new information, future events or otherwise. I will now turn the call over to our CEO, Connie Lau.
Connie Lau: Thank you, Cliff and aloha to everyone. I am pleased to report that our operating company delivered solid financial results, with earnings in line with our 2015 EPS guidance. Earned ROE was 8.6% on a GAAP basis and 9.4% excluding merger and spend related expenses. At the utility, we continue to work toward Hawaii's new target renewable portfolio standard of 100% by 2045 by modernizing our electric grids, integrating more renewable energy and pursuing new customer options. Even though lower oil prices have reduced our typical residential customer build which for our largest on Oahu, are down by about 30% from $183 in September 2014 to $127 currently. We remain committed to reducing our state's reliance on imported oil and our customer's build by pursuing lower cost renewable projects and greater cost efficiencies. At the bank, we delivered solid revenue growth of 6% and loan growth of 4%, while our credit quality remained sound. We saw strong deposit growth of 9% and maintained healthy capital levels. And just yesterday the Hawaii Public Utilities Commission concluded the second ground of evidentiary hearings on our utility merger with NextEra Energy with a third round scheduled to reconvene the week of February 29. We continue to believe that NextEra Energy is the right partner for Hawaiian Electric to achieve Hawaii's clean energy goal. Our bank continues to prepare for their cross-conditional spin-off as an independent publicly traded company and plans to file their updated SEC Form 10 this March. We continue to believe the spin-off of our bank and our utility merger with NextEra Energy will benefit our Hawaii customers and communities as well as shareholders. Hawaiian Electric continues to be a national leader in clean energy and Hawaii, which leaves the nation in the integration of customer cited for, continues to be the post card from the future of a rapidly changing utility industry. As of December 31, 2015, over 13% of our total customer account that energized PV system including almost a quarter of single family homes in our service territories with an additional 6% of single family homes approved and awaiting installation or activation. To put this into perspective for you, rooftop PV on our largest system on Oahu provided 343 megawatts of capacity, approximately 30% of our daytime peak. There are times when renewable sources have powered up to approximately 50% of electricity needs on Oahu and up to approximately 60% on Maui and Hawaii. Overall, renewable sources net 22% of our customer's energy needs in 2015, far outpacing Hawaii's 2015 required RPS of 15% and we're on our way towards achieving the next goal of 30% by 2020 based on Hawaii's amended RPS law. And just this week, Hawaiian Electric was honored for having the Renewable Integration Project of The Year at the 26th Annual Distributor Conference, the nation's largest electric transmission and distribution industry show. The winning project is a demonstration test of a grid edge system to enable integration of increasing levels of rooftop PV system. The goal is to allow utility system operators to see in real time two-way power flows at the neighborhood distribution level. This will allow operators to regulate voltage based on how much power PV systems are producing and how much power customers at the grid edge are consuming, which is essential to maintaining reliability for customers. In other utility development, since our third quarter earnings call, as part of our PUC authorized five-year PV charger demonstration project, Hawaiian Electric now offers five utility owned and operated fast charger options on Oahu and Maui. Our newest Oahu fast charger, which just opened in January 2016, includes an integrated battery energy storage system, which is part of a joint project with the electric power research institute. Energy storage compared with the fast charger is designed to reduce the impact of EV charging on the grid. In late December, the utilities filed application for PUC approval of a proposed test structure for a demand response portfolio and deferral and recovery of certain computer software and software development for a demand response management system through the existing renewable energy infrastructure program surcharge. In addition, our utilities proposed a number of programs to expand clean energy options for customers. In October, our utilities proposed a community based renewable energy program and tariff to the PUC. This program would allow customers who cannot or choose not to take advantage of rooftop solar to receive the benefits of renewable energy to help offset their monthly electric bills and support clean energy. In November, our utilities proposed expanded time of use rate options for residential customers that encouraged the use of power during times when solar and wind resources are most productive. In addition, the utilities also proposed revised time of used rates for electrical vehicle charging and for the Hawaii Department of Education to help public schools manage their energy cost for cooling hot classrooms given our state expectation of more Alminio weather, which made some classrooms last summer quite unbearable. In November, in response to a PUC order, our utilities submitted a plan for revising our previously filed 2014 power supply improvement plans. Revision of these important energy plans will help chart a course to achieving state's 100% Renewable Portfolio Standard Goal by 2045 through diverse renewable resources, including customer cited renewables, use of energy storage and other technology as well as actions such as demand response program. Pursuant to the order, the utilities will be filing an interim piece of update for the revision of these power supply improvement plan next Tuesday, February 16 and a final revised power supply improvement plan by April 1, 2016, Turning to the pending merger and spin, the second round of evidentiary hearings concluded on February 10 and our schedule to reconvene on February 29 to March 4, closing brief will follow after the hearings have ended. Thereafter the PUC can render a decision that there is no statutory deadline for a decision. We had previously received shareholder approval, FERC approval and the Hart-Scott-Rodino waiting period has expired. For the bank spin, other than our SEC Form 10 update, we require Federal Reserve Board approval to de-register ATI as a savings and loan holding company when the bank is burn out. I'll now ask Jim to cover Hawaii's economy, our 2015 financial results and 2016 EPS guidance.
Jim Ajello: Thanks Connie. I will briefly comment on Hawaii's economy. Visitor arrivals exceeded 8.6 million visitors and total visitor expenditures amounted to more than $15 million, increasing 4.1% and 2.3% respectively from 2014. These marks set new records for the fourth consecutive year. Statewide unemployment dropped to 3.2% in December of 2015, the lowest rates since January of 2008, compared to 4% a year ago and still significantly below the national unemployment rate of 5% as of December 2015. And Hawaii real estate activity remained strong during December 2015 with the median sales price for single-family homes in Oahu at $700,000, up 1.4% from last year and up 3.7% year-to-date. In January median price of single-family homes on Oahu rose again to $733,500. With respect to sales volumes, total home sales in Oahu in 2015 rose 5.2% from 2014. Construction activity increased in 2015 reflected by the value of private building permits which increased over 17% on Oahu compared to year-to-date December 2014. This increase was primarily driven by the increase in residential projects. Overall, Hawaii's year-to-date economic performance is being sustained by continuing strong activity in the construction sector and tourism industry and the University of Hawaii forecasters expect State gross domestic product to grow 3.1% in 2016. As shown on Slide 7, 2015 GAAP earnings per share were $1.50, excluding merger and spin related expenses of $0.15 per share 2015 core earnings per share were $1.65 at the higher end of our 2015 EPS guidance range of $1.60 to $1.56, but down slightly from the $1.68 per share in 2014. As shown on Slide 8, HEI's 2015 GAAP consolidated ROE was 8.6%. Excluding merger related expenses, HEI's 2015 core consolidated ROE was 9.4% with ROE contributions of 8% from the utility and 10% from the bank. On Slide 9, utility earnings were $136 million in 2015, compared to $138 million in 2014. Utility EPS was $1.27 was within our utility guidance range of $1.25 to $1.30. The variances are shown on the slide and I'll highlight a few. On an after-tax basis, the most significant year-over-year net income drivers were $7 million in higher depreciation expense for the integration of more renewable energy, improved customer reliability and greater system efficiency and $3 million in higher O&M expense rising in line with inflation of about 1% higher compared to the last year which was driven primarily by the following. The write-off of previously incurred enterprise resource planning software cost, additional environmental reserves, higher employee benefit costs, which were partially offset by higher 2014 cost for the initial phase of the smart grid installations. The higher expenses were partially offset by $7 million in higher net revenues, primarily attributable to the recovery of the cost for the clean energy and renewable reliability investments. At the bank, net income for the year was $54.7 million in 2015 compared to $51.3 million in 2014. Bank EPS of $0.51 a share was firmly in line with our guidance of $0.50 and $0.52, the most significant after-tax drivers of net income increased from 2014 were $5 million in higher net interest income as contributions from loan and investment portfolio of growth more than offset a lower yield on earning assets and $4 million in higher non-interest income primarily due to higher mortgage loan originations and higher deposit related fees. These increases were partially offset by $6 million in higher non-interest expense, primarily due to higher pension and benefits expense. Slide 10 shows the utility's actual ROEs for the year ended December of 2015. The consolidated utility ROE was 8% in line with our 2015 guidance of about 8% and declined from 8.4% in 2014, primarily due to higher depreciation in O&M expense, partially offset by the RAM increase and the higher average equity balance of 2015. Turning back to American savings bank on Slide 11, in 2015 American continued to deliver solid profitability metrics in line with its targets. We achieved a competitive return on assets of 95 basis points for 2015 meeting our target. We achieved loan growth of 4.1% in 2015 in line with our mid single digit loan growth target driven by increases in commercial real estate, residential and home equity loans. Our 2015 net interest margin was 3.5% on the higher end of our guidance range of 3.45% to 3.55%. Our net charge-off ratio was four basis points in 2015, well under our target of less than 10 basis points and still extremely low relative to our peers. Overall the bank continues to maintain its lowest profile, strong balance sheet and straightforward community banking business model. On Slide 12, our net interest margin of 3.55% in the fourth quarter of 2015 was two basis points higher than the linked quarter. Our interest earning asset yield improved by two basis points, primarily due to a shift in portfolio mix to higher yielding assets. Our liability cost of 22 basis points was unchanged compared to the linked quarter. We anticipate modest NIM compression going into 2016 as pricing of new loans continues to be lower than the current portfolio rates. On Slide 13, compared to the $61.2 million of non-interest income in 2014, the $6.6 million increase in 2015 was primarily driven by $3.4 million of higher mortgage banking income related to strong mortgage production in sales, $3.1 million in higher fee income on deposit liabilities due to deposit related initiatives, $2 million gain on sale in the third quarter of 2015 of the American Service Center building vacated as part of our facilities consolidation plan and this was offset by $2.8 million in lower gain on sale of securities. As a result of prudent risk management capabilities and the healthy local economy, credit quality at American remained strong. The 2015 net charge-off ratio was still a very low four basis points compared to one basis point in 2014. Primarily driven by loan growth, the provision for loan losses in 2015 was $6.3 million compared to $6.1 million in 2014. The allowance for loan losses was 1.08% of outstanding loans of $60 million at yearend compared to 1.06% at the end of the linked quarter and 1.03% as of the prior year end. On Slide 15, American's nonperforming assets ratio was 1.02% at the end of the fourth quarter of 2014 compared to 1% flat at the end of the third quarter and 0.85% at the end of the fourth quarter of 2014. The increase from the fourth quarter of 2014 was primarily due to two commercial borrowers who are still payment current. Slide 16 illustrates American's continued attractive asset yield and funding mix relative to our peer banks. American's December 31, 2015, balance sheet is stacked against the last complete available dataset for our peers, which is as of September 2015. Nearly 100% of our loan portfolio was funded with low cost core deposits versus the aggregate of our peers at 87%. In 2015, total deposits increased by $402 million or 8.7% while maintaining a very low cost of funds of 22 basis points, 15 basis points lower than the median for our peers. American remains well capitalized at December 31, the leverage ratio of 8.8%, tangible common equity to total assets of 8.1% and total capital ratio of 13.3%. And for the fourth quarter of 2015, American paid $7.5 million in dividends to ATI or $30 million in 2015 while maintaining healthy capital ratios. Now I'll address ATI's outlook for 2016, turning to Slide 18, other 2016 utility CapEx is estimated to be about $450 million, compared to baseline CapEx -- comprised of baseline CapEx and major projects. 2016 baseline CapEx of $285 million in total expenditures include $2.5 million less primarily for the maintenance and operation of the grid. Of the $285 million, $265 million is within the rate adjustment mechanism or RAM Cap and $20 million is above the RAM Cap. The utilities may apply for recovery of revenues for major projects including baseline projects grouped together for consideration as major projects above the RAM Cap for expenditures necessary to sustain the physical integrity of the grid and to assure reliable electric service for customers. Other major projects in 2016 totaling $165 million primarily include $85 million for the proposed purchase of 60 megawatt Hamakua Energy Partners generating station for which we plan to submit an application to the PUC soon and $61 million related to our Schofield Generating Station Project. The overall cost of the project is now estimated to be $157 million due to our currency hedge locking at a favorable U.S. dollar, Euro-dollar exchange rate. The 2015 ending rate base was $2.75 billion or 1.2% higher than 2014 consistent with our guidance after factoring in bonus depreciation of about $100 million, which reduced rate base by approximately $40 million due to the increase in deferred taxes. For 2016, we expect rate base growth of 3% to 4% net of bonus depreciation and including [HEP]. We estimate that bonus depreciation adds about $45 million to 2016 cash flows and since our power supply improvement plan update to the PUC will not be filed until April 1, 2016, we will only be providing our 2016 CapEx forecast at this time. ATI starts 2016 with a strong capital structure with 53% consolidated common equity total capitalization. Our 2016 holding company financing plans include investments in the utility of approximately $145 million of which $15 million relate to the proposed purchase of HEP, which is subject to PUC approval. Approximately $35 million in equity issuance is through the dividend reinvestment plan, which will generate just over 1% dilution and we expect to refinance $75 million of long-term debt at the holding company and to issue additional debt to finance the remainder of our needs. Based upon our current environment, we are initiating 2016 earnings guidance in the range of $1.62 to $1.75 per share, excluding any merger or spin related expenses. We expect 2016 utility EPS in the range of $1.28 to $1.36 per share and bank EPS in the range of $0.50 to $0.54 per share. Based upon 2016 CapEx plan and about 50% common equity capitalization target, we expect our 2016 equity needs to be satisfied solely through the dividend reinvestment plan of approximately $35 million. At the utility, our guidance assumes no changes to the decoupling model or other recovery mechanisms. We assume utility O&M will be down approximately 5% compared to 2015 levels as a result of continued cost containment efforts and because our 2015 actuals included certain write-offs and reserves that are not expected to recur in 2015. Fuel efficiency should be consistent with our rate case levels and related heat rate deadband. However changes in the system demands could cause fuel efficiency to fluctuate outside the deadband. We assume our rate base growth to be approximately 3% to 4%, net of bonus depreciation, based on 2016 CapEx of $450 million including HEP in the long term debt issuance of $75 million to support CapEx for which $35 million if for HEP. Overall we expect 2016 utility GAAP ROE of about 8%. At the bank we expect mid single digit loan growth, which we expect to more than offset the effect of lower yields on net interest income. NIM should be between 3.45% and 3.55% as we expect the yields on our loans to continue to decline albeit at a slower pace. We expect a slight improvement in non-interest income through growth in fee income and deposit liabilities and on other financial products. Net charge-offs are expected to remain low at under 15 basis points. Provision is expected to be in the range of $8 to $12 million, higher than 2015 due to additional reserves the loan growth and 2015 including recoveries of previously charged-off loans. With continued focus on cost controls, we expect improvements in our efficiency ratio. Overall we expect return on assets of about 90 basis points. Connie, I'll turn the call back to you.
Connie Lau: Thanks Jim. In summary, our utility is focused on expanding customer options and lowering customer bills while it leaves the industry and integrating renewable and distributed resources. We've also introduced new proposals like the community-based renewable energy and time of used rate to facilitate our state's transition to a 100% RPS goal. Our bank will continue to focus on its core banking business, targeting mid single digit loan growth and strong credit quality while also preparing for life as an independent public company. And on Tuesday our Board maintained our quarterly dividend of $0.31 per share continuing our uninterrupted dividend payment since 1901. The dividend yield continues to be attractive at 4.2% as of yesterday's market close. Finally, we firmly believe that as the Hawaii PUC merger review process continues, the Commission and other should conclude that this merger will provide significant benefits for our customers and will accelerate achievement of the Clean Energy future we all want for Hawaii. And with that, we look forward to hearing your question.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Paul Patterson with Glenrock. Your line is open.
Paul Patterson: Good morning. How are you?
Connie Lau: Hi Paul.
Paul Patterson: Just on the - a few quick ones, the O&M you mentioned 5%, but that includes the one-time that you guys had, without the one-time what kind of O&M growth rate would you expect?
Jim Ajello: Paul, its Jim, I would expect approximately 1% or so growth rate, ex those one-timers.
Paul Patterson: Okay. And then.
Jim Ajello: And inflationary increase.
Paul Patterson: Actually that was in the release I believe, I forgot that just now. And in terms of the updated PSIP that we're going be getting next week I guess. Anything we should expect in that that might be significantly different or…
Connie Lau: Yeah and Paul let me just clarify, this is an update on the process to get into the PSIP which will be filed on April 1. So it is not in the nature of a preliminary PSIP or interim PSIP. It is strictly an update the comes in the interim.
Paul Patterson: Okay. And just turning to the bank for a second, you guys still have pretty conservative goals in terms of the charge-off and what have you, but looking at the provision for expense and the net charge-offs there used to be a significant increase in them and I am just wondering with home prices and everything doing what they did, what the big driver there might be?
Rich Wacker: So principally the growth as we said, this is Rich sorry Paul, the growth in the provision is coming as we grow the loan book from one piece because we are -- we basically maintained our coverage and slightly increased the overall coverage rate. We're also growing in some segments that have a little bit higher than the average coverage of the book. So the commercial real estate part as we go through the construction cycle here. Growth in consumer unsecured lending and some small business lending that have slightly higher than the average and certainly higher than the residential book. So it's really a mix item in there. The second thing Jim mentioned we had some good recoveries this year on previous charge-offs and we don't expect those to reoccur.
Paul Patterson: Okay. And then as you know there is a regulatory process underway and there has been some hearings and some coverage, I was just wondering if you could discuss how you guys feel about the prospects of Hawaiian Electric if the merger doesn't happen. I know that's that may not be what you guys want to think happens but just in general since it's come up in the press and what have you, I was wondering if you guys might just share about how you guys feel about the prospects of the company from your longer term, you guys have obviously given us the 2016 number, but just further out if we don't -- if this merger doesn’t take place.
Connie Lau: So Paul, I think we're in a very exciting time in Hawaii's energy landscape. A lot of things are changing here. As we all know the amount of customer sited in particularly rooftop solar in the Ireland has not exceeded by any other place in the nation today. And we've got great renewable resources here in the form of Sun and Looking out My Window right now and I hate to tell you because it's a beautiful sunny day. So we have some wonderful resources here and of course our wind resources are the on land wind resources has capacity factors that are equivalent to offshore wind. So it's a very exciting time for Hawaii and I think that if the merger does not occur, although as you point out and we certainly believe that that has significant value for Hawaii we'll go alone. And I think we feel that we can achieve the state's goals of 100% renewable by 2045 won't be easy but it's a great time for technological developments and renewables and in grid technology I mentioned, we're really leading in many of the grid edge technologies and so, we'll continue down that path to get to the 100% RPS.
Paul Patterson: Fair enough. And then just finally with the rate base growth that you guys outlined in 2016, how should we think -- there is some projects in there that are pushing it up a bit being offset of course with bonus depreciation, but outside of 2016, how should we think about the pipeline or just what you guys are thinking in terms of rate base longer term?
Jim Ajello: Paul it's Jim again. We've got to defer the answer to that until we get a little bit further end to this power supply approval plan process of that and later part here in the spring. So due to the dependency of the merger and the expectation that it will close, we've decided to lay out here a 2016 number, which does have a different mix than you're used to seeing because it does include two generating stations that is quite unusual for us to considering during one period. The Schofield Gen system, which is going to go into construction pretty soon here at $157 million about $61 million I believe will be spend this year for that and then the Hamakua Energy Partners, which is an acquisition again somewhat unusual for us here. So those are lumpier additions to the CapEx plan but I think we'll wait a little later in the year until the power supply improvement plan develops before we look out further and look at the progress of the merger before we look out further.
Paul Patterson: Okay. Great. I'll let other people ask question. Thanks a lot.
Operator: Thank you. And our next question comes from the line of Charles Fishman with Morningstar. Your line is open.
Charles Fishman: Hi thank you. The evidence in your hearing have run significantly longer than you thought. Is that just due to the sheer volume of commoners and interveners, or is there something else going on?
Connie Lau: No that's exactly right. As you know there is a lot of parties and interveners and we had hoped we get through cross examination of the intervener witnesses in the second round but there is still eight to go last week seven to go with the possibility of an eighth.
Charles Fishman: And then you've certainly done a great job of getting the support of the business community in Hawaii, but has there -- been any movement on the Governor's position in the last couple months.
Connie Lau: No there has not.
Charles Fishman: Okay. That completes my question. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Weisel with Macquarie Your line is open.
Andrew Weisel: Hey everyone to follow on that last question about the additional hearings being scheduled, how do you feel about the prospects of the commission making a decision on the merger by the June merger agreement deadline? And if that doesn't happen, can you walk us through the next steps of how that would play out?
Connie Lau: So hard to say when the Commission would render its decision. After the conclusion of the evidentiary hearing the parties will file closing briefs and we would expect that that would be done within the next 30 days or so. And then presumably at that point, the record would be complete and the Commission would be in a position where it could render a decision. But as I mentioned, there is no statutory deadline that exists today on rendering a decision. So it truly will be up to them. Our merger agreement does have June 3 date on it for regulatory approval and closing of the transaction and both parties will have to look at the situation at that time and decision whether we want to continue forward or not.
Andrew Weisel: Okay. Great. Then in terms of the PSIP process is your expectation -- what is your expectation in terms of that running in parallel to the merger approval or if one will perceive the other?
Connie Lau: No, that's correct, running parallel so to speak with the merger proceeding has been a lot of dockets. As I mentioned, there is a lot going on in the energy landscape in Hawaii. And so there is not only the power supply improvement plans docket, but there is also dockets on distributed energy resources. We just got the decision in the fall on net energy metering. Demand response is another big area for -- focus for our commission. So there are actually a number of dockets that are all running parallel to the merger docket and they're all proceeding independently.
Andrew Weisel: Okay. Very helpful. And then lastly there is a legislative push to change the standard of merger approvals to be a significant net benefit. My understanding is that's a little bit ambiguous, but how do you feel about the proposal that you guys and NextEra have collective offered in terms of that qualifying as being substantial net benefits.
Alan Oshima: This is Alan. I think the package that has been proposed does provide net benefits, but that doesn't mean that there is a statutory requirement to meet that standard.
Andrew Weisel: I thought that was been proposed right now, maybe. 
Alan Oshima: Well there are two separate things going on here. There is a Legislative Bill that will change the standard for review in Hawaii to a substantial net benefit and substantial is ambiguous. All of the other mergers in Hawaii have proceeded along with the no detriment standard and changing the standard midstream we believe would be unconstitutional. That being said, what is being proposed by NextEra, we believe does offer a large portion of net benefits to our customers and the state.
Andrew Weisel: All right. Thank you very much.
Operator: Thank you. Our next question comes from the line of Michael Goldenberg with Luminus Management. Your line is open.
Michael Goldenberg: Good afternoon.
Connie Lau: Hi, Michael.
Michael Goldenberg: Hi, how are you? I have a question on your capital investment plan. I was wondering if you've rent your proposals of the plant acquisitions and overall investment with the rating agencies.
Jim Ajello: Are you asking if we have reviewed the capital plans with the rating agencies?
Michael Goldenberg: Yes, yes if they're okay with the level of capital in that?
Jim Ajello: Well, I would necessarily say they're okay with it. They're advised of what the capital plans are. This is a revision in the capital plans. As you may know Fitch recently had their review in December, the other agencies a little before that time. And the plans are very much in line including the financing plans and the way we'll capitalize the investments before the utility very much in line with the present ratings. And the other thing to stress here is that while the Schofield Generating System has been approved by the PUC, the Hamakua Energy Partners acquisition is yet to be proposed to the PUC. We'll do that later this month and that acquisition will be subject to their approval. Both of those plans will be in the rate base including half that's approved. So I don’t anticipate any boundary issues with regard to ratings and long way of saying, yes there are a way of our plan.
Michael Goldenberg: Okay. And in your discussing with ratings did they give you a sense that this level of spending could go on for many years with the support of credit rating. So if you did this outside with this level of financing every year that would be of -- if that would be sufficient for the current credit ratings?
Jim Ajello: Right, I think this level of investment is very sustainable and including the liquidity we need the access to the markets we have. Near term liquidity is very, very strong. Our capitalization is very, very strong and we do not anticipate the replication of this kind of capital plan to be an issue for us going forward.
Michael Goldenberg: So the bottleneck Colorado finally the investment that would be commission approval, but not the credit rating agencies?
Jim Ajello: I think that that’s right Michael and in fact I would tag that on to the answer that we gave earlier to Paul about the ability to proceed in the event that the merger and spin does not occur as you probably remember both of those transactions are across the commission. So we expect and we're doing nothing different in the form of financing with the rating agencies and with regard to CapEx than we would otherwise do ourselves. We're acting particularly independently in this context.
Michael Goldenberg: Got it. Thank you very much. Good luck.
Jim Ajello: You're welcome. Thank you.
Operator: Thank you. Our next question will comes from the line of Jackie Chimera with KBW. Your line is open.
Jackie Chimera: Hi good morning everyone.
Connie Lau: Hi, Jackie 
Jackie Chimera: Rich did you have any kind of a salary trip at you are end or was that still related to a pension and benefit expenses.
Rich Wacker: On comp lines, it's been principally the pension and medical benefit. So..
Jackie Chimera: Sorry, go ahead.
Rich Wacker: So it's consistent with what we've been describing each quarter?
Jackie Chimera: Okay. So 4Q is a pretty good go-forward run-rate time?
Rich Wacker: Yeah on the comp and ben line.
Jackie Chimera: Okay. And then…
Rich Wacker: We’re going to get some improvement on the pension not so much on the medical benefit.
Jackie Chimera: Okay. That makes sense.
Connie Lau: Yeah, with the discount rates when up at year end.
Jackie Chimera: Yeah, yeah that makes sense and then also can you remind us, I know that when the deal was originally announced, you talked about the $6 million after-tax that you lost just to Durban in 2013, but given all the deposit initiative and the growth that you've had there, how much of that has translated into added interchange income that might boost that $6 million number.
Rich Wacker: Yeah the spend continues to rise every year on the order of 2% or 3%. So if you go -- the $6 million was our 2013 number right. Rates haven’t been compressing much in the market overall and so we would expect that we will get a volume benefit to be seen. Now you never really know until you convert out and see exact what spend is?
Jackie Chimera: Okay. And then could you just provide a little bit of color on some of the deposit initiatives that you've been working through and if there is anything that you're not already implementing but you intend to look at as we head into the new year or just the growth you're expecting has continued excess from what you already have going on.
Rich Wacker: Yeah, I think we've been able to do a good job on across the Board. We've been able to get growth on the consumer side the small business, the commercial customer growth is coming in and we expect that to keep going. And we'll also be participating in some of the public deposit market that we haven’t really been proceeding in, in the past. So we do expect to keep going.
Jackie Chimera: Okay. So that as the fee income grows we can also -- like I said we will see the fee income grow as deposit growth continues to be strong next year is it a better way to look at it?
Rich Wacker: That's correct.
Jackie Chimera: Okay. And just lastly looking at the loan growth, I saw you had really strong commercial real estate growth in the quarter, has that continued traction or is the environment there shifting at all and becoming more favorable?
Rich Wacker: It's when we've been talking to you about all year. We were a little bit behind on fundings because of the timing of some of the projects funding. A lot of it came through in the second half of the year. We will have some continued growth but then you’ll also see projects completing and paying down as people buy out the residential units and things there. So we wouldn’t expect the growth on commercial real estate to be as fast in 2016.
Jackie Chimera: Okay. And are those project completions, is that taken into account when you gave your loan growth guidance?
Rich Wacker: Absolutely.
Jackie Chimera: Okay. And then was there anything unusual in the commercial book in the quarter? I notice there was a bit of runoff there?
Rich Wacker: No, normal engine some shared national paydowns, some local refinancing. So we have a good pipeline there and feel good about our ability to grow in that segment too.
Jackie Chimera: Okay. And how is your overall pipeline looking versus where it was maybe a year ago?
Rich Wacker: Pretty good. We feel -- we like to have the mid single digit growth rate right. We have been able to maintain that pretty consistently over the last several years and where we feel confident, we can keep that same growth rate.
Jackie Chimera: Okay. Great. Thank you very much. I appreciate it.
Connie Lau: Thanks Jackie.
Operator: Thank you. And our next question comes from the line of Joe Zhou with Avon Capital Advisors.
Andrew Levi: Hi, its Andy Levi. How are you doing?
Connie Lau: Hi Andy?
Andrew Levi: I am all right. Hey two quick questions. Just on the two major capital projects on the generation the $61 million and the $85 million, what’s the recovery mechanism for those?
Connie Lau: So the $61 million is part of the $157 million approval that we got last year for the Schofield generating stations. So that one has been approved and the recovery for that has been approved and then the $85 million…
Andrew Levi: Just I’m sorry to interrupt on the Schofield does that go into rates as you spend or is it AFUDC and then you have to file a rate case. How does that work versus through like the RAM?
Jim Ajello: Andy its Jim so its AFUDC as its under construction so $61 million is to be crystal clear about it this year's construction expenditures and the balance of the $157 will happen primarily over the following year and then once its commissioned, it will go into regular rate base recovery, but you got…
Andrew Levi: Automatically wants it to be a COD I guess right?
Jim Ajello: Yes. 
Andrew Levi: Okay, that’s good. Okay. And then on the…
Connie Lau: Andy it goes in as an approved major project under the way. 
Andrew Levi: Okay. So no lag on that and then on the $85 million?
Connie Lau: The $85 million we have yet to file the application with the Commission and that’s the purchase in existing PPAs or we’re purchasing out an existing PPA.
Andrew Levi: So it's theatrically if you get approval, that should go right into rates I guess that, is that.
Jim Ajello: Yes, Andy it's Jim. So upon the purchase and approval of course and that's an existing project as Connie was saying we'll be cancelling the PPA along with the transaction. That's the dis-manageable that we have today on the big island we're purchasing Arclight and that will be as you said subject to a PEC approval. What's unusual about this particular acquisition that's it's approved is that it saves customers on bills immediately and my experience and probably yours obviously when you add a capital to a network including $85 million to $460 million rate base on the big island, it's quite unusual, but we're able to save customers immediately on their bills with the extinguishment of the PPA. It's one of the vintage PPAs that were by today's standards generous let's say. So it goes at the right pace. It saves customers right away.
Andrew Levi: And I assume the acquisition is subject to regulatory approval, is that kind of how it works?
Jim Ajello: Absolutely, absolutely. Subject to regulatory approval, the application will go in soon. We announced the arrangement that we have with Arclight around Christmas, December 23, and we have the application going in as we said very soon.
Andrew Levi: And then my last question just relates to pricing power of which if you looked on page 26 of the handout, you kind of outlined how oil has benefitted rates and the customers '15 versus '14. Can you talk about just kind of how that's set up meaning that obviously oil has continued to drop and I don't know like how quickly the rates actually drop and so the 24.3 that you outlined there, how low could that actually go and based on oil prices. And also I guess just PPA that you're buying out, because there are kind of as we get to let's say if things stayed the same, if we got to the end of '16 where do you think the average rate would be?
Connie Lau: I don't know that we can give you the average rate on by the end of this year, but the way this works Andy is that the orange is the fuel, so that would point to the energy cost adjustment clause that has about a 30 to 60 day lag in that. And then the yellow is the purchase power and that one goes through two clauses, the energy portion of purchase power goes through the ECAC and then there is also a purchase power adjustment clause that picks up capacity payment.
Andrew Levi: Okay. So I guess through the PPA didn't quantify how much that maybe I missed it, maybe you did. How much that would lower rates?
Jim Ajello: Andy, it's Jim again. Regarding the acquisition of the Home Accrual Plan, HPA as we call it, we believe that that will save the customers immediately about a $1 per month, but average bill is currently about $1.27 and in fact the $1.27 already differs from the chart you referred to because that's at $1.31. So clearly this is a rapidly moving environment.
Andrew Levi: And then you don't have the ability, I said I only I had one more question I lied, but you don't have the ability to lock in this oil price obviously you're going to have it so, so low for a long period of time do you?
Jim Ajello: Presently Andy we do not have the authority to do the hedging, that's right.
Andrew Levi: Really, but if you were to get the authority, is there the ability in the market to buy that oil over one to two or three year basis?
Jim Ajello: Yes, I think it would be feasible. There is liquidity out somewhere in the two to three year range. Bear in mind the locational differences is that you have right. So that's a bit of a challenge. Secondly, you've got different kinds of products. You've got intermediate fuel oil, low sulphur fuel oil. You've got diesel and the like. So you've got to find matching correlated industries upon which to secure that kind of insurance.
Andrew Levi: Okay. But is there any type of initiative to try to get the authority to do that since prices are so low and obviously would benefit customers and then you don't have to at least for a few years worry about it or you too even?
Jim Ajello: Yes, I think that's a very fair question. We're thinking about that. We don't have anything presently on the run or subject to application. We've been pretty busy with the number of things at the moment and so we don't have anything presently in the pipeline, but I'll let you know and the market know if we intend to do that. Let me just back up to your first question about the typical bills, the $127 that actually Connie referred to in her remarks and then the chart on page 26 to which you referred is really on our major system Oahu, which is about 70% of the system, the bills, the typical bills in the rest of the system run between $128 to as much as the $160 a month fairly presently. And the Hamakua Energy Project that we spoke of roughly $1 a month savings, it could be a little more is on a typical bill there of a $160 a month right. So I just wanted to give you the clear stats by segment if you will.
Connie Lau: Yes just on the…
Andrew Levi: Okay. Great. Thank you, guys.
Jim Ajello: You're welcome.
Operator: [Operator Instructions] Our next question comes from the line of Feliks Kerman with Visium Asset Management. Your line is open.
Ashar Khan: Hi. This is Ashar. How are you doing?
Connie Lau: Hi Ashar.
Ashar Khan: Hey Andy asked a lot of my questions. I just wanted to get a sense as to if I do my quarterly earnings for the year, if I am right as you mentioned, this new plant, when have you in your budget for this year, when have you assumed that this thing gets approved and hits the bottom line?
Jim Ajello: We would say Ashar that the second half of the year is probably as tight an estimate as I can provide you. It's Jim.
Ashar Khan: Okay. But Jim if I am correct one can assume that there is like six months of earnings related to the plant in the 2016 guidance?
Jim Ajello: I think that's a reasonably fair estimate.
Ashar Khan: Okay. Okay. And then the second thing I wanted to get a little bit of a better understanding, you had mentioned that the O&M is going to be lower by 4% to 5% if I am correct.
Jim Ajello: By 5% actually.
Ashar Khan: 5%, is that throughout the four quarters or is that tilted much more in one quarter versus the other? Can you give a little bit of a better delineation as to how we should model that?
Jim Ajello: Right. So I think you have a very good memory because in past years probably through about 2012, 2013, we had a sort of skew towards the third and fourth quarter, but I think the utility has done a really good job here of over the last two years including this prompt year 2016 of managing their work load to be a fairly level basis. So you would take the roughly I think that we correspond to about $386 million of an O&M budget and I would think that you would be fair to divide that by four and expect a fairly even profile to those expenses throughout the year.
Ashar Khan: Okay. Okay. A fair point and then I apologize I got on to the call a little late because the Samphire News hit the headlines, Connie from your perspective, what is the main thing left in the merger proceeding, which is if you put one thing on which there is disagreement or that needs to be -- there needs to be a meeting of mind, what would that one thing be in your mind?
Connie Lau: Sure. I am not sure I could say that there is one thing because if you look at the commitments that NextEra has made, there are a lot of commitments covering many different areas and it really is a total package. So it is a vein of all of the different pieces whether that be with respect to customer benefit or that be with respect to ring-fencing governance issues. So I don't think that there is any one in particular because this also has not been necessarily a back and forth. This has been the cross-examination first of us on our side and then now the cross-examination of the interveners witnesses. So you're seen all kinds of issues come out to be decided by the commission.
Ashar Khan: Okay. And then I know you gave some timelines, but Connie what can be the latest that the commission rules on this? Can you give us some to us?
Connie Lau: They could rule -- they could take as long as they want Ashar. It's not unlike our rate cases where there are no statutory deadlines.
Ashar Khan: Okay. Okay. And you've not pushed them towards getting a decision by a certain date or anything like that?
Connie Lau: Ashar from the start, they've been well aware of the provisions in a merger agreement and the Chair has referred to those, but beyond that, the process really is within their preview and it is their process.
Ashar Khan: Okay.
Jim Ajello: Ashar, it's Jim. Let me just add one thing to it. The merger agreement technically does not expire on the 3th of June. However it will take the consent of the parties to continue the arrangement. Just exactly as Connie said earlier. So think about it sort of that way. We're not necessarily pencils down at that point in time.
Ashar Khan: Okay. Okay. Great. And I do echo Andy's thought that as we -- I know you guys are busy on this, but we should try to get some authorization on this low oil and try to see if we can hedge. If the budget doesn’t go through at least we have something to -- we don't lose this opportunity. I think so it's one in a lifetime opportunity to have oil like $25 a barrel.
Connie Lau: Yes, we don't disagree with you Ashar or with Andy.
Ashar Khan: Okay. Okay. Appreciate it.
Operator: Thank you. And ladies and gentlemen, that does conclude our Q&A session for today. I would now like to turn the call back over to Mr. Chen for closing remarks.
Cliff Chen: Thank you, Andrea and thank you everyone for your participation. Have a good day all.